Operator: Good day, everyone, and welcome to today's Colony Bank Third Quarter 2024 Conference Call. At this time, all participants are in a listen-only mode. [Operator Instructions]. Today's call is being recorded. [Operator Instructions]. It is now my pleasure to turn the conference over to Mr. Derek Shelnutt.
Derek Shelnutt: Thanks, Marjorie [ph]. Before we get started, I would like to go through our standard disclosures. Certain statements we make on this call could be constituted as forward-looking statements within the meaning of the Securities Act of 1933 and the Securities Exchange Act of 1934. Current prospective investors are cautioned that any such forward-looking statements are not guarantees of future performance, but involve known and unknown risks and uncertainties. Factors that could cause these differences include, but are not limited to, pandemics, variations of the company's assets, businesses, cash flows, financial conditions, prospects and other results of operations. I would also like to add that during our call today, we will reference both our earnings release and our quarterly investor presentation, both of which were filed yesterday. So please have those available to reference. And with that, I will turn the call over to our Chief Executive Officer, Heath Fountain.
Heath Fountain: Thanks, Derek, and thanks to all of you joining our third quarter earnings call today. Before we get started on the quarterly results, I just want to say a few words about the impact of Hurricane Helene on our team, our customers and communities that happened right at the end of the third quarter. We were very fortunate that none of our team members were injured by the storm in spite of the fact that about 10% of our team were impacted by damage during the storm or 10% or more. Several of our communities were impacted significantly with tree damage, wind damage, power outages and the like. Today, those communities have power restored. They've moved back to some level of normalcy. I'm really proud of how our team stepped up to help each other in their communities, whether it was serving over 2,000 meals immediately after the storms, managed chain stalls to clear roadways and driveways or making financial contributions to help their fellow team members and members of their community. Our team really went above and beyond my expectations and true community bank fashion, they stepped up, and I'm really proud of our response. While many of our communities were hit with that storm, we did not see near the level of devastation that was seen in some areas like Eastern Tennessee and Western North Carolina. And we don't expect any material financial impact from the storm at this time. But our thoughts and prayers are certainly with all those impacted by Hurricane Helene and other recent storms. So now I'll move into our operating results. We're really pleased with the quarter. Glad to see continued progress being made in our complementary lines of business, which reported to us. Our operating net income increased $238,000 during the quarter as we saw increases in both net interest income and non-interest income. All of our complementary lines of business were profitable in the third quarter and combined pretax net income increased over 20%. Net interest income increased approximately $132,000 in the third quarter, and this is the first quarter-over-quarter increase in the past year, and we saw that despite a slight decrease in margin during the quarter. With the rate environment changing in the latter part of the third quarter and the Fed beginning to ease, it has allowed us to focus on reducing our funding costs, and it's relieved a lot of pressure on both the pricing of deposits and the competition that we've seen for deposits. We still have a lot of opportunity, though, for earning asset yields to continue their climb. So it leads us to a point where we do feel comfortable that we've seen the bottom of margin decline and expect margin to expand going forward. We'd expect that to be rather modest to start with and then improve further as we get into 2025. Total deposits grew in the third quarter, and we saw customer deposits return after some seasonality that we mentioned on last quarter's call. Along with deposit growth, there was some mix shift that occurred where we saw CD and money market accounts increasing and DDAs decreasing, which had a negative impact on our margin for the quarter. We were pleased to see loan growth tick up a little bit. So we were around 4% on an annualized basis, a little over $20 million for the quarter. We are starting to see the pipeline pick up, but it does take some time to get stuff through the pipeline. We would expect to see similar loan activity in the fourth quarter. It could be down a little. We do expect some large payoffs in Q4 that could put pressure on our loan growth, but we do expect to get back to more normalized growth rates for us in 2025. In the second quarter, we did have some increases in our non-performing loans and/or in the second quarter, non-performing loans and criticized were at historic lows. So we did see some increases this quarter, somewhat unusual coming off those lows, but we still feel good about credit quality, and we're not seeing anything pop up that gives us concern about any larger issues or systemic weakness. I mentioned our complementary lines earlier. Our increase in non-interest income was led by good quarters for both mortgage banking and for our SBSL. Mortgage rates did go down a little bit in the third quarter. They ticked back up a little bit as we've seen, especially even in the last few weeks. And so there's still a challenging environment there. There's inventory challenges. So mortgage may not see the kind of quarters that we saw this quarter, but it was good to see that improvement there. Our other lines of business are growing, and we're excited about the opportunities for more growth going forward. Discipline around efficiency and expenses continued in the third quarter. Our -- the metric we've talked about a lot that we track, our operating net non-interest expense to average assets was 1.32% on an operating basis, which has continued to improve quarter-over-quarter for the last seven quarters. We expect that to stay around 140% or below, which will give us a lot of upside to net income as margin begins to expand. Earlier this week, we announced hiring of Cissy Giglio as our Director of Optimization. And this just highlights kind of the priority and commitment we have to efficiency and profitability. As we move back into margin expansion and growth again, we're going to keep our focus on efficiency and ensure that we're able to scale and improve earnings as we grow. This past quarter, we launched a new digital online banking platform, which really came from our commitment to invest in and enhance our technology to improve our customer experience. Our teams really work hard to ensure a successful launch and a seamless transition. We're proud to have a platform that is state-of-the-art that has robust features that our customers can use to stay connected and take care of their banking needs. That's also going to support -- this platform will also support our vision for where we want to go with growth and expansion and more abilities to do things from a digital perspective. This investment also opens up the opportunity to increase our marketing and business development efforts through the efficient use of data. So we're really excited about that as well. So to kind of summarize that with reduced pressure on cost of funds and the rate environment we're in, stable credit and asset quality, growing loan pipeline. We believe there's a lot of upside opportunity as we head into the fourth quarter and into 2025. And so with that, I'll turn it over to Derek to go into more details on the financials.
Derek Shelnutt: Thank you, Heath. GAAP and operating net income increased in the third quarter with operating net income increasing $238,000 as a result of increased net interest income and increased non-interest income. Interest income increased by over $1.2 million in the third quarter as a result of loan growth and continued repricing of earning assets. We still see good opportunity to increase earning asset yields and interest income even in a declining rate environment. There are still a lot of loans that will reprice up at maturity, and that reprice is enough to support increases in overall yields. Interest expense on deposits increased about $1 million as we saw a mix shift in deposits. It's not unusual to see a decline in our municipal DDAs in the third quarter as they start their new budget year and then those deposits return in the fourth quarter when property taxes are collected. We have adjusted our deposit rates in response to market changes and cooling competition. That happened primarily in the later portion of the quarter. So we have not yet seen the full impact of that. But we expect it to reduce or change the upward trajectory that we've seen on deposit costs over the last several quarters. As Heath mentioned, net interest income increased quarter-over-quarter after several quarters of decline and even though margin was down 4 basis points. This increase along with the improvement in our funding environment are good indicators that the lowest part of the margin is behind us. We feel that the expansion of margin will start off gradually for the next quarter or two, and we're conservative how we're thinking about the number and magnitude of Fed rates going forward that may impact that increase in margin. Moving to non-interest income. Third quarter operating non-interest income increased about $417,000, led by a good quarter for mortgage with mortgage-related fee revenue being up about $370,000. NSF and deposit fees were up slightly compared to the previous quarter. And although our small business specialty lending division revenue decreased slightly, it was still better than an average quarter for them. Operating non-interest expense increased about $240,000, and that was a result of some variable-based compensation related to non-interest income and our SBA servicing valuation. We feel good about operating net interest -- net non-interest expense to average assets at 1.32% and see it remaining here and between our target of 140% going forward. Provision expense totaled $750,000 for the quarter. Loan growth contributed to the increase compared to the prior quarter. Non-performing loans also increased during the quarter. But again, as Heath mentioned, that was coming off a quarter at very low levels. We're not seeing anything unusual outside of the normal course of business that would otherwise give us any concern. Net charge-offs were down during the quarter, and it is likely we will see levels going forward that would be more comparable to the first and second quarter of this year. Total loans held for investment increased $20 million from the prior quarter or roughly 4% annualized. As we mentioned on our last call, our pipeline suggested more growth in the second half of the year, and that's what we're starting to see. Also, as Heath mentioned, we do expect a number of payoffs in the fourth quarter, which will hold back loan growth a little bit. There's good upside on the redeployment, because those payoffs are coming in off rates that are well below the market. Total deposits increased about $64.7 million, of which half were about customer deposits and the other half were brokered CDs tied to a cash flow hedge. Our deposit growth was in money market and retail CDs as we saw a mix shift in overall deposits. A large portion of our lower cost interest-bearing DDA balances declined and again, was a result of the municipal deposits, which I mentioned earlier. Although it is still early, we haven't seen any deposit runoff or anything that would indicate that as we've started to reduce rates to align with the market. Additionally, we have between $70 million and $80 million of retail CDs maturing in the fourth quarter that are above our current board rate. So we see a lot of opportunity there for reduction in our retail CD costs. Federal Home Loan Bank advances decreased in the quarter by $20 million as we paid off a short-term advance and as we saw the steepening of the inversion of the curve during the quarter, we did employ some additional cash flow hedge strategies, which help reduce the pressure on any cost that we may see in wholesale funding if the Fed does not cut rates as fast as some forecasts have suggested. Again, this quarter, we sold some investments for a loss, and those are summarized on Slide 29 in the Investor Presentation. We sold approximately $7.6 million worth of securities, which included a $454,000 loss. The book yield on those was 2.61%, and our earn-back estimates are around two years or less. We've expect to make similar transactions in the upcoming quarter to help speed up the restructure of the portfolio. With the recent change in the outlook and the rate environment, we've seen an increase in the fair value of our overall portfolio. We are evaluating the possibility of a larger transaction in the future, which would look similar to what we've done so far, just slightly larger in scale. During the quarter, we repurchased 35,000 shares at an average price of $15.05 as part of our stock repurchase program. And then additionally, yesterday, the Board declared a quarterly cash dividend of $0.1125 per share, and we're proud to continue another consecutive quarter of dividends. Mortgage net income was $275,000 for the second quarter, an increase of $137,000 from the prior quarter. Gain on sale and related revenue increased about $356,000 from the prior quarter. Mortgage rates dipped in the third quarter and generated some activity, but rates have since moved back up. Just to give you a little bit of perspective on that, the third quarter of last year saw mortgage rates in the high 7s and low 8s. And the third quarter of this year started in the high 6s, but dipped to the mid to low 6s. And then today, they're back up to the high 6s, maybe the low 7s as we've seen a climb in the 10-year. Inventory has also remained low in our markets, which has slowed activity. So we'll likely see some decline in revenue in the fourth quarter from our mortgage banking division, but we expect mortgage to remain profitable and that profitability level could be influenced by changes in rates and movement in the 10-year. Our small business specialty lending division had net income of $1.5 million during the quarter, a $174,000 increase from the prior quarter. Charge-offs on the unguaranteed portion of loans, they were down during the third quarter, but are likely expected to return to similar levels that would be comparable to the first and second quarter of this year. Gain on sale revenue is forecasted to be at this level or slightly higher in the fourth quarter and then a little softer in the first quarter, which is generally a slower quarter for SBSL. We're still seeing good volume in the pipeline for both our small express loans and our core loans. Slide 8 provides a breakdown of pretax income for our complementary lines of business. No business line experienced a loss in the third quarter, and all business lines showed improvement from the prior quarter with the exception of merchant, which shows breakeven, but was actually profitable by a few hundred dollars. And that's really due to seasonality in that line of business. We're still seeing a lot of good progress there, but processing volume does fluctuate a little bit due to seasonality. Marine and RV lending had a slower start to the year, but was back to profitability in the third quarter. We're still growing that line of business and plan to eventually get to a spot where we can create some additional revenue with sales of loan pools on the secondary market. Talking a little bit about insurance. Last quarter, we discussed tighter underwriting requirements and lower risk appetite earlier in the year that was impacting the industry and Colony Insurance. We mentioned that we are starting to see some relaxing of those requirements, and we have seen that, and that's allowed our team to increase volume and led to an increase in pretax income in the third quarter. So that concludes my overview, and now I'll turn it back over to Heath for any final comments before we take questions.
Heath Fountain: Thanks, Derek. That wraps up our comments. And with that, I'd call on Marjorie to open up the line for any questions we might have gotten.
Operator: Thank you sir. [Operator Instructions]. We'll take our first question from Christopher Marinac with Janney Montgomery Scott.
Christopher Marinac: Thanks. Good morning. Appreciate you taking the call today. I wanted to ask about the profitability going forward. And to the extent that we could take the core earnings and annualize them, particularly in '25. I know there's a few moving parts in Q4 as Derek had outlined. Is that a reasonable base?
Derek Shelnutt: Yes. I think that would be pretty reasonable to do. I mean we're continuing to see improvement in our complementary lines of business that's leading to better non-interest income. Our net NIE number that measures that contrast between non-interest income and non-interest expenses, that's been in our target, and we expect it to remain there. We're not seeing anything that would cause that to be out of line. And then we are seeing a conservative increase in margin as we go forward and couple that with a little bit of growth, I think it's pretty reasonable to kind of take this quarter, look at it and annualize it as a good foundation for the next year.
Heath Fountain: And Chris, I think that we're committed to keeping this efficiency through our growth going forward, and we do expect to get back to growth. And so when we think about the value we can create over the next couple of years, we start thinking about getting back to, getting first to a one and then we talk about one ROA and then getting back to higher levels within -- where we can get back into the top quartile of our peer group. And if we can do that by also getting back to eventually within a few quarters of our historical growth rate of 8% to 12%. We're excited about the opportunity that we have there and really having gone through this rate-up environment and this margin pressure has really caused us to really focus hard on the expenses and on our operating efficiency and put us in a really good place to where we think we can go from here.
Christopher Marinac: Great. Thank you both for that color. And just wanted to go back to the asset sales that Derek mentioned, would those come over multiple quarters? Or is it just a onetime thing in the near term?
Heath Fountain: I don't think we would see outsized for more than a quarter. We just continue to evaluate that. We're starting to see others do that as well. Don't expect anything super humongous either. We're also focused on this trying to build capital each quarter, improve our capital in terms of TCE. And so we don't want to eat up a lot of our earnings, but maybe something a little bigger than what we've done just kind of given the market. And of course, it's kind of, it's that five to seven year part of the curve that we like probably the most to kind of impact market value adjustments. Any color you want to add there, Derek?
Derek Shelnutt: Yes. That was good, Heath. And I would just say that we would might look at a one-off transaction to be a little bit larger than what we have been doing to Heath's point, not anything super large. But I mean, going forward in future quarters of next year, probably continue just to do smaller transactions like we've been doing as it makes sense. But again, anything larger would probably be a onetime thing in one quarter.
Christopher Marinac: Got it. Sounds great. Thanks again for hosting the call this morning.
Heath Fountain: Thanks Chris.
Operator: Thank you. And we'll take our next question from Dave Bishop with Hovde Group.
David Bishop: Yes, good morning gentlemen.
Heath Fountain: Yes, good morning.
David Bishop: Question in terms of the expected payoff. It sounds like there's some line of sight there. Just curious what we're hearing with other banks in the note that the sponsors are getting more comfortable taking projects rolling into new projects. Do you see that driving some of the payoff?
Heath Fountain: Dave, you're cutting out a little bit. Would you mind repeating? We heard pieces of that question, but not the whole thing.
David Bishop: Sorry, there's an echo apparently. Just curious drivers of the loan payoffs expected?
Heath Fountain: Okay. Yes. So we're just aware of projects that are coming to completion that don't typically have bank financing as part of their permanent takeout. And so that's where we're seeing payoffs come in, project completion. So they're expected type payoffs for the most part. And so that's where we -- that's -- how that is, the timing of those can vary based on completion dates and those kind of things. So it could be this quarter, we could see some flow into the first quarter. So just kind of -- we'll see how that plays out.
David Bishop: And then good growth on construction. Just curious the types of projects you're underwriting in the space.
Heath Fountain: Yes. I mean I would say that nothing that we're seeing in terms of like one specific type of industry or things that we're seeing. It's kind of across the board. I think we are seeing, I think, more stability. I think we do see that borrowers do see some stability of rates, and that started returning throughout the year, but there was a time period there where you weren't sure when rates were going to stop going up. And so you couldn't pencil in infinite rate increases into your projects. And now that you're getting to some stability where I think sponsors feel good about what longer-term rates may be or what the worst case for longer-term rates may be, they feel comfortable moving forward with things. So I think we just see sort of a tick up in activity across the board.
David Bishop: Got it. And then just curious, new loan origination yields this quarter.
Derek Shelnutt: What was that, Dave, again? What was new loans suggestion for the quarter?
Heath Fountain: New loan origination yields for this quarter?
David Bishop: Yes, new loan origination.
Heath Fountain: Yes. I think our average was just a little bit over 8% for the quarter, yes. This quarter's production, a little over -- just barely over 8%, 8.23%. And that's coming down off of, I think our peak was maybe around 8.60% and 8.50%. So we are starting to see that come down and expect to see it obviously continue to come down with the move in rates.
David Bishop: Got it. And then, Heath, it seems like $10 million is the new run rate for fee income. Do you feel comfortable about that level moving forward?
Heath Fountain: I think we're in a pretty good spot for that. I think, Dave, the only -- the challenge there, we mentioned mortgage, you have seen rates starting to move back and you still have the inventory challenge in our markets, but the economic activity is really good. I mean it's not like when rates came down a little that the floodgates opened, it ticked up a little bit. We've had some good recruiting on the mortgage side too, and trying to open up some additional MLOs there. So I think we could see it stay at about this level.
David Bishop: Great. I'll hop back in the queue.
Operator: Thank you. And at this time, we have no further questions. So I'll turn it back to our speakers for any final remarks.
Heath Fountain: All right. Well, thanks again. No further remarks, but I really appreciate everyone's support of Colony Bank and appreciate you being on the call today. Thank you.
Operator: Thank you. And that does conclude today's program. You may now disconnect.